Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Axalta Coating Systems Second Quarter 2015 Earnings Conference Call. Presenting today will be Charlie Shaver, Chairman and Chief Executive Officer; and Robert Bryant, Executive Vice President and Chief Financial Officer. At this time all participants are in a listen only mode. A brief question and session will follow the formal presentation. [Operator Instructions] Today’s call is being recorded. Replays of this conference call will be available through August 18, 2015. Those listening after August 18, 2015 should please note that the information provided in this recording will not be updated, and it is possible that the information will no longer be current. At this time, I will turn the call over to Chris Mecray, Vice President, Investor Relations for Axalta Coating Systems for a few brief legal notices. Please go ahead.
Christopher Mecray: Thank you and good morning, everyone. This is Chris Mecray, Axalta’s VP of Investor Relations. We appreciate your interest in Axalta and welcome you to our second quarter 2015 financial results conference call. Joining us today are Charlie Shaver, Chairman and CEO; and Robert Bryant, EVP and CFO. This morning, we announced our Q2 2015 financial results and posted a slide presentation to the Investor Relations section of our website at axaltacs.com which we’ll be referencing during this call. Both the prepared remarks and discussion during this call may contain forward-looking statements, reflecting the company’s current view of future events and the potential effect on Axalta’s operating and financial performance. These statements involve uncertainties and risks, which may cause actual results to differ materially from those forward-looking statements. The company is under no obligation to provide subsequent updates to these forward-looking statements. This presentation also contains certain non-GAAP financial measures. The appendix to the presentation, which again is available on our website, contains reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures. For additional information regarding forward-looking statements and non-GAAP financial measures, please refer to our filings with the SEC. I’d like to now turn the call over to Charlie. Go ahead.
Charlie Shaver: Thanks, Chris, and good morning to everyone thanks for joining us today. We’re pleased to be sharing our second quarter 2015 results with you. I will begin with some of the highlights from the quarter and a brief update on our strategic focus and our progress today. I’ll then turn it over to Robert who will provide a little more detail on our results and also our updated full year outlook. We’ll then open up the lines to take any of your questions. So if you would refer to slide 3 of our presentation. I am pleased to be able to share our solid results from the second quarter of 2015. These results mark the fourth set of financials we’ve released to the public company and the overall picture for Axalta remains one of steady progress towards our operating and financial goals. On the sales front from a financial perspective our second quarter was on plan. Net sales increased by 8% over last year’s second quarter including negative foreign currency translation impact of about 11%. This is puts on track relative to our revenue guidance for the year and volume growth in the second quarter was nearly 5% with a positive contribution for both segments consistent overall with the first quarter results and reflect our expectation some shift towards growth acceleration from our transportation segment as the year continues to progress. In the area of global demand we believe our sales results is a good reflection of continued solid demand for our products across each of our end markets. They consider related to the combi remains positive in North America and firming a bit in EMEA at least for Western Europe. Of course the world is in uniform economically strong either today. We think that when as were case in the first quarter and in 2014 in certain markets such as Russia and much of Latin America. We do believe our results and our demonstrated ability to grow even in this unsteady global environment underlines our success today and are working towards that goal of refocusing Axalta on profitable growth as an independent company. It’s certainly true in Asia Pacific where we see broader economic indicators showing some slowing. We at our positioning and our success of winning businesses over the last few continues to enable growth both year-to-date and in our updated outlook. We grew volumes in Asia Pacific at nearly 12% in the second quarter including over 25% in our transportation coatings grew. In spite of a Chinese auto market that slowed from double-digit growth rate to lower single-digits in recent months we continue to post solid growth as a result of our successful timely investments in capacity in that country, our strong product set, our reputation for quality products and perhaps to a degree our flexibility to grow from a lower market share position relative to other regions among other regions. On the subject of EBITDA the Axalta team also continues to focus squarely on controlling and reshaping our cost structure and remain competitive. This was certainly reflected in our second quarter profits with reported adjusted EBITDA of over $255 million ahead of our target for the quarter and up 16% from prior year quarter. Our profit growth was accompanied by margin expansion with an adjusted EBITDA margin of 23.4% up from 19.6% in the prior year second quarter. This was driven in part by volume growth but also good steady progress in operating productivity and cost reduction initiatives. EBITDA margin was also favorably impacted by pricing actions taken during the second quarter as a result of the expected devaluation of certain Latin America jurisdictions which temporarily outpaced the negative impacts of that translation. Finally, along with our progress in cost containment driven by our two initiatives we are also benefiting from the overall adoption of metric based management practices which we believe we are already making a significant impact on our behavior and certainly our results across the company. We have also updated our annual guidance from last quarter narrowing the range slightly by increasing the lower end of the range from $860 million to $870 million for the adjusted EBITDA with the upper end of the range steady at around $900 million, this reflects on one hand a higher level of confidence of our results now that we are just past midpoint of the year but also on the other hand an awareness of the choppy global macroeconomic picture and ongoing risk of demand level and execution. Clearly, foreign currency remains volatile as we go through this year. We have provided an updated look at our assumptions which results in modest changes to our assumption of FX impact. Regarding product demand we continue to see a generally supported backdrop for each of our segments, our end markets that being said we also acknowledge the certain countries and markets have slowed and our second half assumptions also reflect that. We do believe we are fortunate to be in a position to reconfirm those goals with a positive revision to the target profit range. We continue to be on plan with our capital projects and our productivity investment in the second quarter. I just recently attended the ribbon cutting ceremony in our Wuppertal, Germany Waterborne coatings facility expansion in June and our plan is to be operational there in the second half of the year is on track. Meaning our new Jiading, China waterborne facility continues to perform well in meeting new customer schedules for new coatings demand and our Mexico expansion is also on track for the end of this year. Overall, our capital spent in the first half is on schedule. We continue to work daily in our operations team to capital at a long term list of productivity projects that have helped us continue to realize our cost and productivity goals. So turning to slide four on the subject to delivering on our goals. I do think it’s worth taking a moment in reviewing our progress to-date with respective to our yearly goals. Overall we remain encouraged by current market and product position and we continue to execute on our plan in a disciplined way with the goal of creating shareholder value to profitable revenue growth, strong cash generation and total shareholder return base capital allocation. We have highlighted few milestones for you from the second quarter. In terms of revenue growth our volume acceleration remained on plan through the first half and we expect this to continue driven by the ramp up that we’ve talked about in – Transportation Coatings related business that we previously discussed on these calls. The volume growth we recorded in the second quarter notably came from positive volumes in all regions and all end markets. North America demand remained solid and a highlight of the quarter, but we also point a strong growth rate in Asia Pacific of 12% overall and again over 25% in our Transportation Coatings as evidence that our plan remains on track to expand our business in emerging markets, but historically we lack the capacity and the capability to serve and grow. We do expect to see ongoing growth in the region for the balance of the year even at the current lower market growth rates as widely reported by the press and auto industry. But we don’t profess to be unaffected by this slowdown our plan benefits from our specific market position and production based on new business we believe will continue to serve us well in the near-term. So take in a moment to kind of look at our end markets and refinish our goals remain steady to continue to focus on growing our emerging market presence from a strong and stable base. We’re also using production extension with main stream product offerings to grow globally. In the second quarter for example we had solid new business wins with multi-shop operator customer segment in North America as this body shop consolidation continues. On the industrial side of the business our project increased growth saw some progress in the second quarter. We continue to apply discipline to extending our market presences in new niches through new product launches and enhanced sales and marketing efforts across the region. In the light vehicle segment Axalta work at service a solid base of customer demand and meet new expectations for all of our new product launches through the course of this year and into 2016. We are confident of our technology, our innovation and we’re committed to continuing to service those customers who have superior service and reliability as we’re growing both in core and emerging markets. On the commercial vehicle side of the business we are pleased with the continuous robust demand in the core North America markets and that continues to demonstrate great progress as we go through this year. We have also shown excellent progress in adding growth in other regions including China where we grew over 20% and the declining overall truck market as we work up from this relatively small base of business. With regard to Fit-For-Growth and Axalta Way our two initiatives for productivity. We’re also pleased with the progress there. Both programs are on track to meet our expectation of $200 million in run rate savings by the end of 2017 and we continue to see Axalta the way savings begin to accrue in the second half of 2015 on its way to building into the following years. As we continue our capital priorities we’ll continue to strive for balance between making appropriate high return organic investments in the business to benefit from applying capital to our own businesses as standalone as well as achieving our goal of reducing debt leverage on the balance sheet. At the end of the second quarter our last 12 months net debt-to-adjusted EBITDA was 3.7 times down from four times the last quarter. In second half we would expect to be able to deliver solid progress on debt reduction given the expectations for additional positive free cash flow in the business. I have commented in the past about our interest in evaluating M&A opportunities even if it isn’t the top priority for our capital allocation at the moment. I’m pleased to say we did complete one small bolt-on acquisition in July acquiring a distributor in the Benelux area called Metalak. This was a small firm and we have an existing business through refinish products and the results of this acquisition as we add certain products in our industrial portfolio and a really great sales team. This deal was a clear strategic fit for us with limited risk and outside the broadly marketed deal auction process, but not a large transaction it does start as an example of our flexibility to close deals that make sense for the customers our company and shareholders’ like. I would like to now turn the call over to Robert who will walk us through Axalta’s financial results in more detail as well as a review of our updated guidance. Thank you, Robert.
Robert Bryant: Thanks, Charlie, and good morning, everyone. Please turn to slide five of our earnings presentation we will find our Q2 consolidated results. For the second quarter of 2015, constant currency net sales increased 8.2% over the prior year driven primarily by volume growth as well as select average selling price increases. Foreign currency translation impacted reported net sales by 11.1% in the quarter mainly from the devaluation of the euro and currency in certain Latin America jurisdictions. On a sequential basis, the currency impact was nearly even with the last quarter overall. Axalta sales volumes on a consolidated basis grew 4.8% over Q2, 2014 reflecting growth across all regions and all segments. In North America, volumes were up 5% led primarily by Transportation Coatings’ growth. In Asia-Pacific, volumes were up 12% also driven by solid growth of over 25% in Transportation Coatings in the region. Latin America in spite of the generally constrained regional economic demand environment saw volumes increased 4% led by refinished and continued solid commercial vehicle production. EMEA volumes increased 2% from moderate expansion in most end markets and in spite of ongoing headwinds from Russia and Eastern Europe. Excluding Russian and Eastern Europe our EMEA net sales increased 5.6% in Q2 excluding FX impacts. With a positive price contribution in the quarter of 3.4% overall we see that net sales were delivered largely from incremental customer demand in each segment as well as our continued focus on globalization of products and strong execution across each end markets. Second quarter adjusted EBITDA increased 15.6% year-over-year to $255 million from $221 million driving largely by strong volumes and improved mix as well as price benefit and lower fixed manufacturing costs from our ongoing productivity initiatives. Variable margins benefited from moderate raw material cost relief in Q2 as we signaled in our prior quarter given prices in select commodity oriented inputs. Adjusted EBITDA margin expanded by a substantial 380 basis points from last year to 23.4% from 19.6% primarily driven by volume and price drop through as well as some positive effect from cost improvements and productivity enhancement. Moving on to our Q2 2015 Performance Coatings results on slide six, constant currency net sales in our Performance Coating segment increased 8.2% year-over-year driven by growth in all of our regions. Volumes were up 2% for the quarter also from all regions though EMEA demand continued to be held back partly by a notably weak Russian and Eastern Europe demand. Average selling prices were up a robust 6.2% including some benefit from active price adjustments and high inflation jurisdictions. The volume and price increases were offset by 12.1% unfavorable currency exchange translation again primarily driven by the euros and currencies in Latin America. Net sales in our refinish end market grew a strong 10% year-over-year, excluding the negative impact of foreign currency translation, let by results in Latin America. Net sales in our industrial end market increased by 3.8% year-over-year excluding foreign exchange translation exhibiting modest sequential acceleration from the first quarter and led by volume growth in North America and EMEA. Performance Coatings generated adjusted EBITDA of $162 million for the second quarter up an impressive 19% year-over-year. Adjusted EBITDA margin jumped 480 basis points to 25.4% on the drop through of volume price and cost improvement from 2014. Notably we do not expect this margin level to be sustained near term as the quarter did benefit from some favorable timing of net sales from earlier expectations of a smoother level of overall business performance between the middle quarters of the year. Our new expectation is reflected in our updated guidance for Q3 which is assumes more moderate volume price and margin performance as we progress toward our full year targets which overall remain achievable on our expectation. Switching now to Q2 2015, Transportation Coatings results. Before foreign currency translation impacts of 9.5%, net sales on our Transportation Coatings segment increased 8.1% year-over-year in the second quarter. Net sales on a constant currency basis were led by volume growth in North America, and Asia-Pacific from new business and growth in vehicle production for our customers. Notably Asia-Pacific volume growth in the quarter was up over 25% in line with our previously communicated expectation of strong sequential acceleration as new launches continue for new business with key customers in the region and particularly in China. Although we’ve taken note of the slowdown and overall new vehicle production from Western suppliers in China in recent months. We expect global volume growth in the Transportation Coatings segment to build along with the introduction of new models and continued vehicle production by our customers on lines where we have secured new coatings positions. Net sales on our light vehicle end market increased to solid 5.5% excluding foreign currency translation in Q2 including over 25% volume growth in Asia Pacific and ongoing solid growth in North America. Net sales in our commercial vehicle end market increased an impressive 17.9% excluding foreign currency translation due to strong volumes in all regions in both heavy duty truck and select other vehicle fleets. The Transportation Coatings segment generated adjusted EBITDA of $93 million in the second quarter and increase of 10.7% driven by the growth in net sales and lower fixed and variable manufacturing costs as we begin to see the benefits from our operational improvement initiatives including some procurement savings. We did continue to see a moderate drag from the Jiading, China facility start-up process. Segment EBITDA margin in Q2 improved by 220 basis points to 20.5%. Moving on to our cost optimization initiatives on slide eight, as with the last quarter we are pleased that our progress on the cost reduction and productivity initiatives are well on track. We continue to expect to book combine run rate savings of $200 million by the end of 2017 between the programs Fit-For-Growth for growth and the Axalta Way. Fit-For-Growth, which began in late 2014, continues to show solid progress and we are confident in our forecast of relatively linear savings to be accomplished over the next several years. Savings in the second quarter reflected this goal and operating progress included ribbon-cutting at our new expanded water-borne coatings facility in Wuppertal, Germany, as well as certain other operations consolidations to enhance overall productivity in EMEA. The Axalta Way, our new business process, is a comprehensive term initiative focusing on creating a best-of-class organization, and ultimately driving enhanced and sustainable returns on investment for our shareholders. To achieve our $100 million savings and productivity targets, we continue to process a detailed planning and execution. The impact of Axalta Way in Q2 was still a net cost headwind due to the impact of certain consultant costs and severance. But we expect to begin to see a ramp-up in savings during the second half, with moderate savings to be achieved overall in the amount of $10 million to $15 million for 2015. Looking at the buckets of opportunity in the Axalta Way program for the first three years, we see clear opportunity to reduce cost across nearly all operating and functional areas of the company, with notable individual buckets to include commercial practices, procurements, operations and SG&A. We’ve completed the detailed scoping work on commercial practices in North America with the help of consultants and are confident in our opportunity to streamline our commercial terms across an organization that was formally managed on the decentralized and almost purely regional basis, with few metrics supplied across these managerial boundaries. This effort includes more consistent pricing terms, sales force management and other initiatives aimed at reducing price leakage across a diversified global organization that serves more than 130 countries. Our global procurement organization also continues to pursue opportunities to address its business, efficiency opportunities including efforts to reduce spend in both side and indirect categories. We are confident in our goal of achieving significant savings from addressing our supply chain operations on a global basis. Migrating best practices among the regions, reducing our spend of sole source buys and direct procurement inputs and managing the overall process with a more metrics based approach that has been done in the past. As we suggested on our last call, we seek to provide some color on the magnitude of cost and savings from the Axalta Way program. We are confident in our $100 million overall three year target and have noted that our second half 2015 goal of savings is approximately $10 million to $15 million. Regarding our onetime costs and the EBTIDA to adjusted EBITDA bridge provided in our release and commented on slide eight, we note the transition related expenses associated with establishing Axalta as an independent entity were essentially completed in 2014 as expected and communicated last quarter. That’s said, we identified several items that are one time in nature and related to our new productivity programs and other matters. Our cost associated with the productivity initiatives total $22 million in the second quarter with the bulk of these cost related to the Axalta Way for consultant and severance cost. Looking at some key balance sheet items of slide nine, as of June 30 cash and equivalent totaled $308 million while our total reported debt was $3.6 billion resulting in a net debt balance of $3.3 billion. Our net debt to last 12 months Adjusted EBITDA ratio is now 3.7 times down from four times last quarter. The figure on the right side illustrates our deleveraging trend over the past several quarters. Our expectation continues to be for solid free cash flow in 2015 and we have reiterated our annual working capital assumptions set out in March. Free cash flow in the second quarter improved as expected to $79 million including CapEx of $25 million which is on target for our annual spend of $150 million. Regarding our capital allocation of leveraged targets, we will continue to focus the majority of our free cash flow on debt pay down and seek to reduce our leverage ratio to 2.5 to 3 times before any significant consideration of changing our capital allocation focus. On the weight of this lower balance sheet leverage target, we continue to invest in substantial capital, on organic investment with solid IRRs as reflected in our CapEx guidance of $150 million, including $90 million of product and productivity spend over and above our anticipated $60 million in maintenance CapEx needs. We remain satisfied with the range and opportunity of such products which offer compelling total shareholder return based on our projections. Turning to slide 10, as per our earlier comment, we intend to provide annual guidance and then update it on a quarterly basis. Given that we are half way through the year and remain on target for our goals overall, we are favorably tightening the range of Adjusted EBITDA and we are pleased to maintain the other target metrics for the year. As a result, excluding foreign currency impacts, 2015 net sales are expected to grow 5% to 7% over last year though we expect slightly greater impacts from FX and reported net sales are thus expected to decline low to mid single-digits. Our constant currency growth is still expected in all regions in all end markets driven by volume growth from commercial initiatives launched in 2014 and selective price increases within our performance coating segment in particular. Transportation coatings is expected to benefit in volume growth from the new vehicle coatings positions previously announced and in spite of certain country specific demand reductions, such as in Brazil and moderation of broad production rates in China. We expect to generate Adjusted EBITDA of $870 million to $900 million with a corresponding EBITDA margin of approximately 20%. This is up from a range of $860 million to $900 million mentioned previously. We have also noted a range of expected Adjusted EBITDA for Q3 specifically. We expect Q3 Adjusted EBITDA to fall in the range of 23% to 25% of our estimated full year Adjusted EBITDA. We wanted to clarify that we do not expect the remainder of the year to fall out as even in terms of sequential phasing of Q3 and Q4, given what we regard as a certain amount of earnings benefit that we experienced in Q2 associated with timing factors in the normal course of business. Other model expectations remain consistent with the prior quarter communication. We expect our normalized effective tax rate to be between 27% and 29% of pre-tax earnings, capital expenditures to be approximately $150 million and net working capital to be in the range of 13% to 15% of net sales excluding unusual items. From a cash perspective, again, we have $95 million in transition-related severance and one-time IT-related expenses to be included in 2015 cash usage, the largest of which is approximately $50 million in remaining severance payments. This was previously noted. We also have some incremental cash headwind coming from the Axalta Way severance cost that we have charged in Q2 as noted in our release. This concludes our prepared remarks. We’d be pleased to answer any questions you may have. Operator, will you please now open the lines for Q&A?
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question today comes from Ramanan Sivalingam from Deutsche Bank. Please proceed with your question.
Ramanan Sivalingam: Morning, guys. Just quick question on price. Very strong performance when you look at Q2, especially versus Q1. Can you talk to the drivers of that? Was it predominantly FX-related or there’s organic purse in there?
Robert Bryant: Ram, yeah, I think as we – this is Robert. As we come in at last quarter, typically our average selling prices increased each year due to the introduction of higher value-added new products, technological innovation and process efficiencies our products can create for our customers. But the quarterly cadence of those price increases can vary for a whole host of regions, including changes in the price adjustment calendar, mix of regional revenue, mix of end market revenue, timing differences between the valuation of price increases and higher inflation countries, and of course product mix itself. So, in particular with regard to Q2, we experienced higher average selling prices actually in three out of our four regions, including certain high inflation countries where larger than normal price increases were necessary to offset internal inflation that had accumulated during part of Q1 as well as Q2. And this was consistent with our past business practices.
Ramanan Sivalingam: Got it. That’s very helpful. And then European volumes look pretty strong, particularly ex-Russia. Just curious to know what you’re seeing early in Q3 there. Is Russia getting better or how are you seeing some of the trends overall?
Charlie Shaver: Yeah, Ram, it’s Charlie. As we’ve noted in first quarter we actually saw the year get off to a little bit of a slow start in January and February where we’ve seen sequential improvement really since then I would say as we completed the second quarter certainly Western Europe and Southern Europe that kind of led the way in recovery. And I would say pretty steady right now. We’re real pleased with at the way, the way the year is going pretty consistent with plan and again – after having a little bit of a slow start earlier in the year I think we’re, certainly things seem to have settled down and underlying customer demand seems to be good.
Ramanan Sivalingam: That’s very helpful. Thank you.
Charlie Shaver: Thanks Ram.
Operator: Thank you. Our next question today is coming from Jeff Zekauskas from JPMorgan. Please proceed with your question.
Jeff Zekauskas : Hi, good morning.
Charlie Shaver: Good morning Jeff.
Jeff Zekauskas: Hi, of your $200 million and eventual cost savings, how much comes from employee reduction?
Charlie Shaver: Well we had several buckets of the 200 and in terms of overall rationalization of our operations Jeff whether that physical assets or whether that’s work force it is a component, but it is not the largest component.
Jeff Zekauskas: Okay. And then are there any areas in where your prices are sequentially down are there any areas where you accept prices to be sequentially down in the third quarter?
Charlie Shaver: I think from a market, from a market perspective as well as what we’re seeing in terms of our pricing we don’t have any expectations to that price.
Jeff Zekauskas: Okay great. Thank you so much.
Charlie Shaver: Thanks Jeff.
Operator: Thank you. Our next question today is coming from Bob Koort from Goldman Sachs. Please proceed with your question.
Bob Koort: Thanks gentlemen. Good morning.
Charlie Shaver: Good morning Bob.
Robert Bryant: Good morning Bob.
Bob Koort: I thought I heard you say something I found sort of curious which was that Latin America was leading the refinish volumes during the quarter. And I was wondering if you could just maybe remind us of what sensitivity you typically see in the refinish market to broader economic conditions?
Charlie Shaver: We had a strong performance by our Latin America team across the region, and again I think we highlighted in the first quarter some of the seasonal or situational factors that kind of led to Q1 not being as strong as we had expected in particular in the refinish business and I think we saw some of that volume and some of that demand come back in the second quarter.
Robert Bryant: Yeah Bob, this is John. I will just add on that, I think you know Mexico continues to be a good country for us and even though we had a fairly grim view on Brazil as far as OEM and overall industrial GDP, clearly we are seeing our industrial and refinish business do well down there.
Bob Koort: I am sure you sensed maybe as you’ve talked with investor there tends to be some growing angst about what’s happening in China, but it appears that based on your loading of new plans you are doing just fine, I am wondering on the refinished side, as the economy maybe slows a little bit, the consumers there little bit more cautions will that effect you business at all?
Charlie Shaver: Yeah I think you are correct on the China OEM. I think one hand on the OEM side, we, the China slow down as far as new build on cars, that’s been coming over the last year or two, so we kind of factored some of that into our plans this year and as we said in the comments as we are not unaffected by that, I think overall our plans today pretty much contemplated the mix between existing business and new business. On the refinished side and starting in China, you still got 24 million new vehicles being pumped into the refinish market there with a lot of those being more mainstream and premium segment cars, so we haven’t, we certainly at least up to this point have not seen any fall off in refinish marketplace there. Again we grow from a smaller base there then we do on our OEM business, but we certainly haven’t. We have seen dealers talking about overall cash management, dealer inventory they’re dealing with all those issues that congenitally could affect some of the dealers shops there. When we look at our overall mix of business, we think refinish certainly lease up to this point. We haven’t seen any slowdown there in our growth plans.
Bob Koort: Great. Thanks for the help.
Operator: Thank you. And next question please coming from Ghansham Panjabi from Robert W. Baird. Please proceed with your question.
Matt Krieger: Hi, good morning. This is actually Matt Krieger sitting in for Ghansham. How are you guys doing?
Charlie Shaver: How are you Matt, good morning.
Robert Bryant: Hi Matt.
Matt Krieger: Good, good. My first question is given the strong result, can you guys describe the flow business into the second quarter while highlighting any significant new business wins or any potential go forward from the back half of the year just trying to get a better sense of what drove the very strong results?
Charlie Shaver: Sure. So with regard to second quarter I think we’ve talked about before in the refinish business in particular. The exact timing from month-to-month or from quarter-to-quarter from a demand perspective. The difference of weaker one month one way or the other can make a difference in terms of how much we see from a volume perspective come in. And I think we saw strong volume performance in the second quarter strong price performance and then certainly at the variable margin level – at the fixed cost level we saw some pretty significant improvements in our business as we continue to drive Axalta Way through the organization. And I think in Q3 just given the strength of the performance in the quarter particular in June sequentially when we look at the business we thought it might be helpful to provide some guidance on how we see Q3 shaping up in particular based on some of the refinished demand patterns that we saw this year.
Matt Krieger: Okay you’ve a couple.
Charlie Shaver: Yeah Matt I would just add one comment on that which is, it was not driven by any anticipated price increases by distributors or anything like that. So we did see some relatively strong distributor volume that they – a lot people contemplated a good strong summer season in a couple of these regions. And I think we certainly seeing that bear out, but I’m like Robert I think it was prudent to say we believe some of that was just balancing between the end of Q2 and beginning of Q3.
Matt Krieger: Okay that’s useful, thank you. And then considering crude oil volatility during second quarter. Can you guys describe the raw material cost environment during second quarter and then provide your outlook kind of for the back half of the year broke out between third quarter and fourth quarter?
Charlie Shaver: Yeah, overall Matt just in terms of raw material, I think sequentially quarter-on-quarter I think we commented that we saw in Q1 modest raw material savings. In Q2, we saw those pick up a little bit, I think we would still characterizes those overall savings as modest. And as we look into Q3 of course it’s really the prices that you negotiated in Q1 that we’re going to see flowing through the financial statements given the lag an inventory and sales that would be going into Q3. So the different between $60 and $40 barrel oil you know is obviously we don’t think from a negotiation perspective its material of our suppliers as was the drop from $100 to $60.
Matt Krieger: Okay great, that’s it from me. Thanks.
Charlie Shaver: Thanks.
Operator: Thank you. [Operator Instructions]. Our next question is coming from Eugene Fedotoff from KeyBanc Capital Markets. Please proceed with your question.
Eugene Fedotoff: Good morning guys. Congratulation on a nice quarter and thanks for taking my questions. Just a follow-up on some of the sales slipping into 2Q from 3Q can you quantify it for us?
Robert Bryant: I think what we tried to do there and if you look at the guidance that we provided in our earnings release as well as in our presentation. We tried to indicate from an EBITDA perspective correspondingly about how much about of that we’ve expected affect Q3. So again I think from our full year EBITDA so we’re expecting 23% to 25% of that to occur in the third quarter.
Eugene Fedotoff: Okay. Just on top of follow-up questions from price increases in performance coatings, are you seeing your competitors raising prices as well and your expectations for second half of the year as far as prices are you expecting more prices being passed through or prices should serve stabilized at current levels?
Charlie Shaver: As far as competitors I can only comment on what we kind of hear and see at the marketplace. And clearly we see competitors announcing price increases and as we go through the year. So we can – only guess what they’re actually gaining, but we certainly see the price announcements. And I think one of the reasons that we continue to do price increases in this business are two-fold one, we still have certain raw materials that are increasing. We highlighted before like pigments, isocyanates certain products that – have different supply demand dynamics but rather than just oil. And then second of all we continue to rollout new coatings, new innovative systems that are priced differently than other ones. So as we go through the year, there is all type of actions that are taking place in our portfolio as well theirs. So I do think though that as we look at pricing around the world, we continue to raise price across our segments and again every segment, every country is a little bit different, it all averages out but in some cases we are recovering inflation, we are recovering currency and in other cases just recovering changes in products or raw material. So I’ll let Robert comment on these specifics but we do expect we are on a normal cadence as we’re going through this year and different brands go at different times, sometimes we might move that from one quarter to another just depending on what competitors might be doing or when we’re seeing increases in our business. But I would say, as we go half way through the year right now, we continue on our normal cadence. The only exception being in some of the high inflation countries where we’ve seen currency changes and those tend to be economies where we adjust much more frequently anyway so – there is nothing new there but those cadences tend to be dictated by what’s going on with the currencies there. So I think as we go through the year, nothing new and again I think we certainly hear and see as a marketplace, our competitors managing their business probably not too distant more than us, Robert any comments?
Robert Bryant: John, I think you covered all the points.
Eugene Fedotoff: Thanks for the color and just the last question on consulting fees, are you expecting to see more consulting fees in the second half?
Robert Bryant: Yes we will continue to see consulting fees in the second half of the year as we continue to make our way through the exhaustive way. Year-to-date in terms of onetime cost, we have about $30 million in onetime cost, about two thirds of that is related to severance and one third of that is related to consulting, and I think in the back half of the year we would expect to spend a somewhat similar amount and then in 2016 we expect and opt to taper down quite significantly.
Eugene Fedotoff: Thank you.
Operator: Thank you. We have reached the end of our question-and-answer session. I would like to turn the floor back over to management for any further or closing comments.
Charlie Shaver: All right, thank you. Hopefully, our presentation this morning was informative. I know it was a little bit lengthy on the front end but we hope to try to give you most information that you need to adapt your numbers and your models. Again very pleased with our quarter and while there is a lot macro economic factors out there buffeting the year, I would characterize it as what coming through the halfway mark of the year that I am pleased to report Axalta overall pretty much on plan, something’s up, something’s down but overall, I think we’re certainly pleased to see the volume growth. Pleased to see the sustained activity we’ve got on cost management, in raw material focus so there’s always a second half of the year I’m really pleased fully at this point and look forward to discussing things with you as we go to the next quarter. So we that, thank you again operator, and I appreciate everybody on call this morning. Thank you.
Operator: Thank you. And it does conclude today’s teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.